Operator: Good morning, and welcome to the Neo Performance Materials First Quarter 2025 Earnings Conference Call. For opening remarks and introductions, let me turn the call over to Irina Kuznetsova, Director of Investor Relations for Neo. Irina, please proceed.
Irina Kuznetsova: Thank you, operator, and good day, everyone. Today's call is being recorded. A replay will be available starting tomorrow in the Investor Center on our website at neomaterials.com. Starting this quarter, our call will be accompanied by a live web presentation. If you're joining us online, the slides will advance automatically as we progress through the discussion. You can also download a copy of the presentation from our website to follow along or reference afterwards. On today's call are Rahim Suleman, Neo's President and Chief Executive Officer; and Jonathan Baksh, Neo, Chief Financial Officer. Please note that some of the information you will hear during today's presentation and discussion will consist of forward-looking statements, including, without limitation, those regarding revenue, EBITDA, adjusted EBITDA, product volumes, product pricing, other income and expense measures, cash returns, operational changes and future business outlook, including potential expansion plans and contracts. Actual results or trends could differ materially from those discussed today. For more information, please refer to the risk factors discussed in Neo's most recent financial filings, which were filed on SEDAR earlier today and also available on our website. Neo assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. Financial amounts presented today will be in U.S. dollars. Non-IFRS financial measures will be used during this conference call and information regarding reconciliation to the IFRS measures is set out in the financial statements and MD&A. I will now turn the call over to Rahim.
Rahim Suleman: Good morning, everyone, and thank you for joining us today. And today, we will start on Slide 4. We were pleased to share Neo's Q1 2025 results, a quarter that once again highlights the strength, resilience and strategic importance of our business within global supply chains. While the broader macroeconomic environment remains complex with new tariffs and export restrictions, reshaping worldwide trade flows, Neo continues to deliver. Our performance this quarter reinforces a few themes. First, our financial results were ahead of expectations, showcasing Neo's ability to navigate volatility while remaining focused on execution. Second, we've made meaningful progress on our most important growth projects, including continued success in ramping up our rare earth permanent magnet production capabilities in Europe. And third, among a changing geopolitical landscape Neo continues to demonstrate our thought leadership as a reliable partner in the global effort to localize rare earth supply chains. We are building a stronger, more diversified platform, one that is designed not just to respond to geopolitical shifts but to lead through them. Before turning to our quarterly results, I would like to address our ongoing strategic review process. And as we have previously discussed, we are conducting a comprehensive strategic asset review across our geographic footprint, to consider strategic alternative and opportunities to maximize value for our shareholders. The process remains active and is being managed under the leadership of Neo Special Committee and Financial Advisors. While the review continues, we have continued to take steps to optimize Neo's business, including the divestment of noncore assets, executing improvements in operational performance and progressing with major capital programs. There can be no assurance that the strategic review process will result in any transaction or any alternative nor any assurance as to with outcome or timing. Neo does not intend to comment further unless it determines that further disclosure is necessary or appropriate. Okay. So moving to our first quarter results, let's turn to Slide 5. Neo delivered another strong performance during the first quarter generating adjusted EBITDA of approximately $17 million, an increase of approximately 60% year-over-year and ahead of expectations. This is a direct result of solid execution throughout our business and a reflection of resilient demand for our products. Though macroeconomic uncertainties persist, I am pleased to report that at this time, we remain on track to achieve our full year guidance. Taking a closer look at our segments. Our Chemicals & Oxides segment delivered its strongest EBITDA performance in recent quarters with adjusted EBITDA of $7 million, an increase of $7 million year-over-year. Magnequench continued to perform, delivering strong EBITDA of approximately $7 million, up 9% compared to Q1 2024. And Rare Metals posted approximately $9 million in adjusted EBITDA reflecting an anticipated step down in the exceptional results that we saw over the last two quarters. Jonathan will elaborate on the details of each BU in a few minutes. In addition to adjusted EBITDA growth, Neo amplified its financial strength by completing the JAMR and ZAMR divestitures with approximately $28 million in gross proceeds. Importantly, the company remains in a net cash position with ample liquidity. Our capital structure supports further growth, enabling disciplined investment in high-return transformational projects that will drive Neo's long-term shareholder value. Let's move to Slide 6. Building on this foundation, we are advancing strategic capital projects that strengthen our position as a critical supplier to the automotive, energy and electronics sectors. Within the automotive sector, for example, we are innovating across both legacy and next-generation vehicle programs, and these initiatives support near-term cash flow as well as long-term growth. Our NAMCO Emissions Catalyst Control plant is now fully commissioned, and we've achieved full run rate capacity for requalified products. This highly automated, cost-efficient manufacturing facility enhances our competitiveness in the global auto catalyst market, where demand remains strong amid tightening emissions regulations. You can see some pictures of the NAMCO facility here, showcasing the control room and samples of automation in the facility. NAMCO is delivering meaningful EBITDA for our C&O segment with production volumes showing growth and multiple new customer programs secured since launch. We are efficiently scaling the facility where we target double-digit annual growth while driving high cash flow conversion. Let's move to Slide 7. Neo's permanent magnet facility in Europe remains firmly on track, both on time and on budget as we progress from commissioning into early production milestones. You can see some pictures of the equipment and the facility here. As we've talked about previously, the building is essentially complete, and over 90% of the equipment is now installed and commissioned. Let's move to Slide 8. Just a few weeks ago, we successfully produced and shipped 18,000 assembled sintered magnet pieces as preproduction samples for a Tier 1 traction motor customer, marking a critical step toward commercial scale production. This is a remarkable achievement as we only started commissioning equipment earlier this year. The extended and global peak at Neo Magnequench, seamlessly executed a highly complex multistage production process from raw materials to final assembly, delivering a high-performance magnet, tailored to a specific traction motor platform. This marks a breakthrough achievement and exemplifies Neo's advanced technical and operational capabilities. These are the fruits of a highly dedicated team in Estonia and globally, leveraging Magnequench's 30 years of rare earth magnetics experience and some of the world's most advanced magnetics lab capabilities. Our team is driven and committed to delivering on this project, one of the most important critical materials projects for rare earth magnets in Europe and indeed the world. There is still much to be done in getting the PPAP, bringing it to mass production, servicing more customers and programs, but the accomplishment achieved a few weeks ago really can't be understated. The progress in our permanent magnet facility in Europe is merely one phase of a multiphase growth strategy that will see us expand our magnet manufacturing in Europe with Phase 2 and then add Phase 3 and eventually, Phase 4 elsewhere. This plan ultimately ties to one of the core investment drivers of Neo, to provide global and parallel supply chains for Rare Earth magnetics and other critical materials for these rapidly globally and exciting end markets. Let's move to Slide 9. The need for these parallel supply and local supply chain has never been more evident than now with recent geopolitical developments. As you are most likely aware, two major events that are affecting our industry. One, the introduction of higher tariffs in the U.S., particularly with respect to China, and two, the recent announcement placing selected heavy Rare Earth elements under China's export control regime aimed at regulating dual-use applications. These additions to the export control list include the heavy rare earths needed for sintered magnet manufacturing as well as the permanent magnets themselves. Amid this evolving landscape, Neo is strategically positioned to win. Our vertically integrated, regionally diversified model allows us to remain flexible and resilient in the face of geopolitical uncertainty. And today, we are seeing the results of this strategy. While the full economic impact from geopolitical uncertainty in the new regulatory regime is still to be determined, Neo believes we will be a long-term beneficiary of these changing global dynamics. First, we'll talk about the impact of tariffs and second, the impact of these heavy rare earth export restrictions. We evaluate tariffs through two lenses. First, our comparative advantage under relative tariff regimes between the U.S., China and Europe, and second, the extensive domestic capacity in the U.S. I will comment specifically on some of the larger impacts of tariffs on Neo's business. Our largest U.S. bound product is hafnium, which we recycle and refine in Europe. Hafnium represented about 2/3 of our total imports into the U.S. last year. Tariffs on hafnium for Europe are significantly less than the tariffs on hafnium from China, which is where our largest competition would be. For hafnium, there is a little U.S. domestic capacity in the areas of supply chain where Neo fits. Our second largest import into the U.S. is for our emissions catalyst business. For these, we manufacture products both in Europe and in China. There has been a tariff on mixed oxides for Catalyst from China for a number of years now, although current tariffs are clearly of a different scale. Our largest competitors have plants in China, but also have production capabilities in Europe, Japan and some U.S. production. Neo is working closely with our customers to rebalance some of our U.S. destined products to come from Europe, although this will take some time as products have to be requalified and tested. These are all part of global programs for global customers, and the same programs will continue in China, in Europe and in other parts of the world. The U.S. bound sales of catalyst from China represent less than 5% of Neo's consolidated sales. In gallium, Neo is the only recycler and upgrader of semiconductor-grade gallium material in North America. Following China's 2024 dual-control export regulation, our Canadian refinery has become even more critical to the Western semiconductor ecosystem. Neo's exposure to U.S. tariffs on magnetic products remains minimal as we currently ship almost no magnet volumes from China to the United States. Most non-China motor manufacturing today is concentrated in Europe, Japan, Korea and Southeast Asia. Looking forward, with significantly higher tariffs on Chinese rare earth magnets than those produced in Europe, Neo's European permanent magnet facility offers a clear competitive advantage for customers seeking tariff optimized solutions and probably, more importantly, a diversified supply base. This is not an exhaustive list, but it does represent the vast majority of our imports to the U.S. And as you can see, tariffs do not have a direct material negative impact on Neo and in fact, may yield some benefits to Neo due to our globally distributed manufacturing footprint. What this doesn't speak directly to is what happens to our customers' customer, as our products are ultimately consumed throughout the world. This dynamic is harder to quantify, but remains top of mind for all as we watch the impacts of the economies of the world in general. Moving to Slide 10. In response to U.S. tariffs, China has instituted new export controls from China on heavy rare earth elements, which have drawn renewed attention to the potential supply chain disruption. As noted earlier, these export controls not only apply to the heavy rare earths themselves, but to the permanent magnets that use them. This has become a key concern of all governments, OEMs and motor manufacturers as China is essentially the only meaningful source of heavy rare earths today. These concerns are real. And it is yet to be determined exactly how these export control restrictions will be applied. 99% of Neo's bonded magnet portfolio is heavy rare earth free, a key differentiator from sintered magnets generally. Neo is continuing to ship its bonded magnets globally, albeit additional testing reviews from customs in China, as might be expected. And notably, Neo is the only company globally, with heavy rare earth-free magnet for automotive traction motors already in production. Now on the road, two programs with Honda and Daido. This forward-thinking product is a direct result of Honda, Daido and Neo's long-term planning and technical depth. Neo owned and operated a heavy rare earth separator in China, JAMR that we sold earlier this year. This entity does ship heavy rare earth specialty products to numerous international customers that are now subject to review by these export control groups. Neo's ownership is now 9% of this facility, but this also affects the international distribution agreement that we have in place with our partners. Our products do not go into restricted end products, and we hope to receive approval to ship these products in due course. Neo's team has a long history of operating in China and is highly experienced in navigating complex export license processes, a capability we've proven during recent gallium restrictions. That experience combined with our healthy inventory and long-standing customer relationships gives us a practical edge in maintaining operational continuity. Looking ahead, Neo is uniquely positioned to address one of the most critical, structural gaps in the global rare earth supply chain, the absence of heavy rare earth separation capacity outside of China. So let's move to Slide 11. Prior to these announcements, Neo had already begun the engineering and design work for a pilot scale heavy rare earth separation line in Estonia as a first strategic step building on our operational light rare earth separation base already in the same facility. Neo has 30 years of operational engineering experience with specialty heavy rare earth products in Singapore from our time operating JAMR. The transfer of heavy rare earth separation technology outside of China is illegal and Neo respects and obeys the laws of the regions in which we operate. Accordingly, Neo has not and cannot use rare earth separation technology from JAMR. However, Neo has been supporting our customers globally with advanced and specialty heavy rare earth products, which gives us unique exposure to the products and their characteristics. To support future scale up, Neo is actively working with a growing pipeline of emerging rare earth mining projects across North America, Australia, Brazil and Southeast Asia, many with a focus on heavy rare earths. Several of these projects already rely on Neo's in-house laboratory and engineering teams to help optimize their flow sheets, reinforcing our role as the preferred downstream partner and offtake counterparty as new supply comes online. We are also happy to see partners like Lynas make tremendous steps in their journey towards separating heavy rare earths, building on their vast experience and expertise in mining and separating light rare earths. It is critical that the industry works together to address the needs for more localized and parallel supply chains. We have been customers and partners with Lynas for many years and are impressed with the progress that they are making in this area. These efforts are increasingly important as recent trade policies and export controls reshape the industry, reinforcing the urgency of localized rare earth supply chains. Moving to Slide 12. Once again, these trends validates the three pillars of Neo's investment thesis: End markets with tremendous growth opportunities; the need for localized and parallel supply chains; and Neo's unique and long history and expertise in rare earth magnetics and critical materials. We tie this together with a company that drives positive EBITDA as an excellent record of executing on projects and remains financially strong with a healthy balance sheet and cash flow profile. With that, I'd now like to turn the call over to Jonathan for a summary of our financial results for the quarter.
Jonathan Baksh: Thanks, Rahim, and good morning, everyone. As Rahim noted earlier, our first quarter results reflect our strong start to the year, driven by solid performance across all segments and sustained demand in high-value automotive, industrial and aerospace applications. Moving to Slide 14. We reported revenue of $121.6 million for the quarter, which was relatively flat year-over-year as lower pricing in Rare Metals and Magnequench segment was largely offset by improved realized prices in the C&O segment. Despite mixed market dynamics, Neo delivered a solid adjusted EBITDA margin, supported by a more favorable product mix and improved operational execution, including meaningful improvements in conversion costs and SG&A discipline across the organization. These factors contributed to a year-over-year margin expansion of approximately 500 basis points, reflecting our continued focus on driving improved profitability. Moving to Slide 15. Adjusted EBITDA for Q1 2025 increased meaningfully to $17 million, up from $11 million in Q1 2024. The most significant year-over-year uplift came from the Chemicals & Oxides segment, where we delivered a multiyear high in quarterly earnings, primarily driven by a strong recovery in our auto catalyst business. This translated into net contribution increase of over $7 million, accounting for 31% of total consolidated adjusted EBITDA in the quarter. Magnequench delivered another quarter of stable profitability with adjusted EBITDA up $0.5 million year-over-year supported by continued growth in bonded magnets and bonded powders and traction motor applications. Rare Metals performance remains consistent with expectations as normalized hafnium pricing was balanced by sustained demand in aerospace and high-tech end markets. As a result, we saw a more balanced distribution of segment level adjusted EBITDA contribution with Magnequench, Chemicals & Oxides and Rare Metals representing 30%, 31% and 39% of the total, respectively. Importantly, we delivered $3.6 million of adjusted net income for the quarter, translating to adjusted earnings per share of $0.09. Moving to Slide 16. Our Magnequench business continued to deliver strong volume growth in the first quarter, with shipments up 7.3% year-over-year. Bonded magnet volumes reached a new quarterly record, increasing 53% compared to Q1 2024 and up 17% sequentially. This growth reflects our strategic shift to products further up the value chain as the team successfully expands from bonded powders into bonded magnet production leveraging decades of process and application expertise. Commercial momentum remains strong, supported by continued customer wins and growing adoption across both automotive platforms and high-performance cooling applications for AI servers and data centers. As Rahim noted, our heavy rare earth free magnet for traction motors presents an increasingly compelling value proposition, particularly as OEMs reassess sourcing strategies in light of recent Chinese export restrictions. This dynamic creates a clear opportunity for Magnequench to further differentiate growth. Adjusted EBITDA for the quarter increased 9% year-over-year with EBITDA margins expanding by 160 basis points, reflecting the high value-add content of our product mix and the business' ability to sustain strong profitability even amid soft rare earth pricing. Moving to Slide 17, Chemicals & Oxides results came in ahead of expectations, signaling a clear turnaround after a challenging 2024 shaped by market headwinds and transformative actions that are now positioning the business for more resilient growth. With the successful ramp-up of our new emission control catalyst facility and the completion of the Chinese separation asset divestitures, the segment is now firmly focused on execution and margin accretive growth. The state-of-the-art NAMCO plant is already delivering operational and financial benefits with sequential volume growth of 21% and a year-over-year increase of 4%, supported by improved automation, process layout and environmental controls. Our wastewater treatment business also delivered strong results, with volumes up 25% from prior year, reflecting both continued demand from existing accounts and new customer wins. With over 90% customer retention and U.S. market penetration still under 5%, this business offers a significant runway and high-margin recurring revenue market. Adjusted EBITDA increased by $7 million compared to Q1 2024, our strongest quarterly results for C&O since Q3 2023, this result was achieved through increased volumes and significant reductions in conversion costs. This quarter reflects an exceptionally strong result. And while we anticipate moderation in the coming quarters, performance is expected to remain robust and supportive of our full year outlook. Moving to Slide 18 and turning to our rare metals segment. Q1 marked another solid quarter with consistent operational and financial execution across all facilities, supported by ongoing strength in end market demand and emerging geopolitical tailwinds. Hafnium pricing has now normalized as anticipated, resulting in lower year-over-year margins relative to the elevated levels seen in the second half of 2024. That said, fundamentals remain supportive, particularly with the implementation of new U.S. tariffs on Chinese hafnium. As the largest hafnium recycler in Europe, Neo continues to secure both long-term contracts and opportunistic spot sales at attractive margins. In gallium, we saw continued strength with robust demand and favorable pricing dynamics, driven in part by regulatory constraints on Chinese exports contributing to meaningful margin expansion. Adjusted EBITDA for the quarter was $9 million, slightly lower than the prior year period due to the expected normalization of hafnium pricing. However, our gross margin expanded by 190 basis points, underscoring Rare Metals ability to navigate price cycles, maintain commercial discipline and deliver strong performance. Looking ahead, we remain focused on reinforcing this position through the long-term supply chain security. As part of that effort, Neo recently signed a memorandum of understanding with Globe Metals & Mining Limited, for a potential offtake of up to 150 metric tons per year of niobium pentoxide from the Kanyika Project in Malawi. Beginning in 2027, an important step towards securing future inputs to support our growth strategy. Moving to Slide 19, on cash flow. Neo's financial position remains sound with a continued ability to generate cash over both the short and long term. As of March 31, 2025, Neo held cash and cash equivalents of $77 million. During the quarter, Neo paid approximately $3 million in dividends to shareholders. Cash from operating activities was negative $18 million, primarily reflecting the $13 million settlement of the European patent litigation claim as well as $15 million net increase in working capital. Working capital changes were driven by higher accounts receivable due to the timing of customer sales as well as elevated inventory levels as we began to hold strategic stock in select jurisdictions amid rising geopolitical uncertainty. We will continue to actively manage inventories to ensure operational continuity and uninterrupted customer supply. In the first quarter, we invested $4.3 million in the NAMCO emission control catalyst facility and $5.2 million in the European sintered magnet facility alongside additional capital upgrades at Silmet. As Rahim mentioned earlier, we also received approximately $28 million in cash proceeds from the sale of Chinese separation assets, $26 million in net cash, which was completed in the first quarter. Sustaining capital expenditures was low at $1 million for the quarter, and we remain well positioned to continue generating strong free cash flow moving forward. Moving to Slide 20. Our liquidity position remains sound with cash on hand of $77 million, an undrawn $25 million credit facility from EDC, additional revolving and other loan capacity of $41 million and access to up to $10 million in government grants support from Europe. We continue to operate with a strong balance sheet, ending the quarter in a net cash position of $6 million providing both financial stability and flexibility. This foundation enables us to fund strategic growth initiatives without relying on external equity financing for current projects, while maintaining disciplined capital allocation and enhancing long-term shareholder value. Moving to Slide 21 and turning back to our financial performance. Our strong EBITDA this quarter underscores the strength of our global diversification strategy and operational execution. Amidst heightened geopolitical volatility and supply chain disruption, Neo continues to perform with resilience and consistency, reinforcing our leadership in enabling secure localized rare earth supply chains outside of China. At present, we are restating our guidance of $55 million to $60 million in adjusted EBITDA for 2025, and we'll continue to monitor the global economic situation while remaining focused on disciplined execution and capital allocation. With that, I'll turn the call back to Rahim for closing remarks.
Rahim Suleman: Thank you, Jonathan. Moving to Slide 23. In summary, Q1 was another strong quarter for Neo. We delivered solid financial results, advanced critical growth initiatives and continue to navigate global complexity with confidence. These results underscore the value of our diversified program and the adaptability of our business. As we look ahead, our team remains focused on three key priorities: maintaining financial strength and resilience; driving our long-term growth strategy with discipline; and continuing to increase shareholder value through strong execution. Neo is well equipped not to just respond to the changes happening in the market but to lead through them. Our investments today are building the foundation for tomorrow's outperformance and we're both excited and ready to confidently navigate the path ahead. Thank you for your time today and for your continued support. And with that, I'd like to open up the call for questions.
Operator: [Operator Instructions] Our First question comes from David Ocampo at Cormark Securities. Please go ahead.
David Ocampo: Thanks. Good morning, everyone. This is either for Rahim or Jonathan or maybe both of you could take a stab at it. But you guys called out that NAMCO has, I think, 50% additional capacity. And it does sound like you guys are expecting double-digit growth as you kind of secure a new customers in China and elsewhere. And I think if you take a look at prior commentary, you guys have been alluding to a $55 million to $60 million EBITDA target through the cycle depending on rare earths are in a stable market. Does that number change now with the growth that you're expecting from NAMCO?
Rahim Suleman: Look, I think that the growth for NAMCO in terms of double-digit growth this year was embedded in our original thought process and it's offsetting kind of the hafnium normalization margins. I just think it speaks to further long-term opportunities and for the long-term growth.
David Ocampo: Okay. Got you. And then for sintered magnets, the Estonia opportunity, it's mainly been focused on EV and maybe a little bit on wind turbines as the potential end markets. Everything that we read out there, I mean, it does seem like the focus, at least as it relates to the trade ban is related to defense-oriented products, whether it's aircraft or missiles. Have you guys had any ongoing discussions with government bodies about your facility in Estonia, just given the importance of [indiscernible].
Rahim Suleman: Sure. Look, I think, frankly, we're very popular right now all sorts of different entities, and that's governments, OEMs, Tier 1s and the like, inside automotive, outside automotive. So I think that there's a wide variety of interest in terms of what we're doing here. I think that we talk about wind farms and we talk about traction motors because they drive -- traction motors are some of the highest forms of magnetic specifications. And once you get to being able to deliver that, frankly, you can deliver most other types of specifications out there. So we're open to all kinds of business. But I think when we were launching the plant, we wanted to launch with anchor tenants that are fairly large programs, the defense and other types of programs that we don't participate in today tend to be really small in volume, and I think that's fine. It's a different business model. It's one that we can certainly adapt to over time. But on the launch, we want fewer programs with volume. But the world is changing and we will change with it.
David Ocampo: Does that force you guys to keep some of the capacity at least for Phase 1 open in the event that some of these newer type customers that might be higher margin come to the table?
Rahim Suleman: I think that we'll let that play out as it plays. I think again, we have more than adequate demand, and it is just about executing the right launch path with the right number of programs. So a lot of it depends on the specific magnet specifications in this and that. So I think we're open to be agile to manage the right way. So I don't think we close any doors to opportunities here.
David Ocampo: That sounds good. And maybe a last one, something that maybe you probably can't answer at this time, but we've all seen the export restrictions on heavy rare earths. Is there any speculation out there in the marketplace that this will eventually be applied to NdPr in general?
Rahim Suleman: Look, I -- so this is -- I can say a non-Neo comment, but just a general industry comment. I think that, that can happen. But frankly, there's a lot of NdPr available outside of China today, right? So Lynas is a massive producer of NdPr. MP is going to continue with their growth plan and produce more NdPr over time. Both of them are expanding. We are in touch with numerous other upstream providers, some of which we believe have a real path to get there. So I think that there becomes additional supply of NdPr. I think it's the largest, call it, leverage point, was probably heavies. But it could be a next step, I'm just not sure that it's as impactful as the heavy step.
David Ocampo: Okay, that's perfect. I'll hop back in the queue. Thanks Rahim.
Rahim Suleman: Thank you, sir.
Operator: [Operator Instructions] Next question comes from Ian Gillies at Stifel. Please go ahead.
Ian Gillies: Good morning, everyone.
Rahim Suleman: Hi Ian.
Ian Gillies: Can you talk a little bit about how you're thinking about maybe timing and sanctioning for the next phases of Estonia at this point? Just given some of the, I guess, changes in the broader marketplace over the last number of months?
Rahim Suleman: Yes. Look, I think it's probably early days to be talking about time lines for when we would really start Phase 2 and Phase 3 in earnest at this point. There's obviously a lot going on. Our issue, as we have talked about in the past has never been our belief in demand. So we always believe that demand was there and it's the supply of qualified magnet manufacturers that -- which is really the -- and separation, frankly, that is a limiting factor. So current events don't necessarily change our view on that from a demand perspective. Clearly, the amount of demand requests and nature of programs is, as I said, through the roof. But I'm not sure that the -- it's just a little bit early days to start picking dates for Phase 2. But certainly, it's on our time horizon. People are thinking about it. We're thinking about what other regions because it is a very supportive environment from a demand perspective and, frankly, from a government perspective, but we need to execute. And you've heard that theme from me all the time. We need to execute and we need to prove that we need to get the right most cost-effective process in place and running a few cards is helpful. So I think it's top of mind for all of us, but we are still thoughtful with our overall launch strategies.
Ian Gillies: Understood. And the other thing, I guess, like a few weeks ago, I guess, you could softly call them one of your competitors launched a rare earth separation plant or they announced their intention to build one in Europe. If you've had a chance to look through that or do any diligence on it. Can you maybe talk a little bit about what your competitive advantages maybe versus that plant and how you're thinking about some of those developments in Europe as a whole?
Rahim Suleman: Sure. So I guess, first of all, you'll forgive me if I don't comment specifically about other participants in the industry. But overall, I would actually say it's a good thing. I -- we are always happy to see more upstream operations come into place, more separation operations come into place and, in fact, a larger ecosystem, even further downstream than that. So although in some industries, additional competition might be viewed as challenging to one's ability to capture the demand base, but we don't see that at all. We see a larger ecosystem, giving confidence to the demand base that the supply base will be ready. And I'd say we'll be ready because the demand so far exceeds supply that the more institutional capability we have in supply, the better this industry will be, the more confidence will come across, across all dynamics. So we are happy to see other people make progress. So -- there's a limited amount of separation capabilities. As you know, from a mining perspective, 60% of rare earth mining is in China and 40% is outside of China. But only 15% of the separation capacity exists outside of China. So we need more capacity outside of China. And we need more magnet capacity outside of China because outside of China, it's only 7%. China is 93% and the rest of world is 7%. So the more capacity we build downstream and in all midstream assets, I think the better for the industry in the long run. And I think the industry is so large, like we're talking about $10 billion type numbers here in a decade. We need an industry that's strong, and we're supportive of that.
Ian Gillies: Understood, that's helpful. I'll turn it back over. Thank you.
Rahim Suleman: Thank you.
Operator: Thank you. The next question comes from Marvin Wolff at Paradigm. Please go ahead.
Marvin Wolff: Good morning, guys. Congratulations on a strong quarter there. I was wondering if you could give us a little more color on sort of the time lines on PPAP, when you expect it to be finished? When do you see that turning into, what I would call, normal everyday production and deliveries to this OEM or the Tier 1 and then the OEM that will use it on the sintered magnet side from the Estonia plant?
Rahim Suleman: Yes. So I think we talked about PPAP in 2026 and mass production starting in 2026 as well. Now that will be mass production from our side, technically, the OEMs launching that program in 2027. But the parts obviously that go through -- got to go through the supply chain in order to meet the OEMs' expectations and being on time. So -- and that all remains on track. If anything, I think we're seeing more pull to do more things faster and responding to our customers and multiple inquiries to do more things faster, but that program continues to remain on track. And we anticipate that, that will continue. We do anticipate there'll be more kind of dual-source programs that will come up as well. So kind of interim changeover sourcing of programs. So I think there's a lot of moving parts in terms of new opportunities. So we just kind of continue to focus on executing with confidence so that we can preserve these customers and launch successfully, again, for beyond Phase 1 because this business to us is Phase 1, Phase 2, Phase 3, Phase 4. We're not in this for just Phase 1. So that's why we preach this response launch, a safe launch concept and do it responsibly because the market is just massive.
Marvin Wolff: Okay. That's great. Sort of along that line as well, will additional OEMs be able to use the same magnets that are currently being PPAP from the Tier 1? Or will there have to be modifications in the specs for those magnets both in terms of physical specs and chemical specs.
Rahim Suleman: So they're generally larger programs but the larger program tends to be consistent set of specs and then other programs have different specs. Having said that, we got the commissioning here in the early part of this year and produced samples just a couple of months later. Our ability to do this quickly is being evidenced in real life, right? So this isn't stuff that, that we need to talk about, like I talk a lot about safe launch and responsible launch, but if you actually just look at the facts on how fast that facility was able to execute on getting these ready to go, making modifications for other customer requirements, whether they're dimensional or magnetic spec requirements, we have increasingly increased confidence in our ability to do those things quickly. So you'll hear me talk about responsible launch and safe launch, but it shouldn't be confused with our capacity to execute things fast. And that's what we will, again, continue to shift our priorities, continue to shift to do things quicker as we gain more confidence in our ability to execute. But certainly executing these samples within two to three months frankly, it was beyond my expectation. I think it was just an incredible achievement and the team continues to make advancements in the number of alloys and the number of different programs that we will be capable of serving. And I continue to think good things will happen, and I think good things will happen quickly. But the specific programs do take different types of magnets, but I don't think that, that is a whole different process for us. It's largely all the same equipment. But you're just putting different alloys in the different dimensions and other different magnetic properties. But it's 95% the exact same equipment.
Marvin Wolff: Super. It sounds like you've got the real tiger right at the tail there.
Rahim Suleman: We are fired up, and we're just balancing, frankly, we're just balancing the number of opportunities that are banging at the door right now.
Marvin Wolff: That’s great. Okay. That’s all for now. Thank you very much.
Rahim Suleman: Very good. Thanks Marvin.
Operator: Thank you. We have no further questions. This will conclude your conference call for today. We thank you for participating. And at this time, we ask that you can please disconnect your lines.